Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to the Wheaton Precious Metals 2025 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to remind everyone that this conference call is being recorded on Friday, May 9th, 2025 at 11 A.M. Eastern Time. I will now turn the conference over to Emma Murray, Vice President of Investor Relations. Please go ahead.
Emma Murray: Thank you, Andrew. Good morning ladies and gentlemen and thank you for participating in today's call. I'm joined today by Randy Smallwood, Wheaton Precious Metals' President and Chief Executive Officer; Vincent Lau, Senior Vice President and Chief Financial Officer; Haytham Hodaly, Senior Vice President, Corporate Development; and Wes Carson, Vice President, Mining Operations. Please note for those not currently on the webcast, a slide presentation accompanying this conference call is available in PDF format on the Presentations' page of our website. Some of the comments on today's call may include forward-looking statements. Please refer to Slide 2 for important cautionary information and disclosures. It should be noted that all figures referred to on today's call are in U.S. dollars. With that, I'd like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Emma and good morning everyone. Thank you for joining us today to discuss Wheaton's first quarter results of 2025. Before we begin, I would like to take a moment to honor founding Board member Peter Gillin, who passed away last week. As our longest-serving Director, Peter played a pivotal role in shaping Wheaton into the company that it is today. His unwavering integrity, strategic vision, and deep commitment left a lasting impact on all of us. More than a respected leader, Peter was a trusted colleague and a very dear friend. On behalf of the Board of Directors, management, and staff, we extend our heartfelt condolences to Peter's family and loved once during this difficult time. I'd now like to turn back to our quarterly results, which marked a very strong start to the year. As several of our core assets exceeding production expectations, we delivered record quarterly revenue, adjusted net earnings, and operating cash flow. Looking ahead 2025 is shaping up to be a catalyst-rich year with four development projects scheduled to come online over the course of this year. Notably, the Blackwater Mine, owned by Artemis Gold achieved its first gold and silver pour in January and just last week announced commercial production. Our corporate development team remains actively engaged in evaluating new opportunities and we continue to see a healthy appetite for streaming as a competitive source of capital for the mining industry. During the quarter, we were once again recognized amongst Corporate Knight's 100 Most Sustainable Corporations in the World for 2025, a multi-sector accolade that we are very proud of. Founders and architects of sustainable streaming, this accomplishment is reflective of our continuing commitment to operate responsibly in all facets of our business. This includes our work to help build healthy vibrant communities through purposeful investments wherever our partners stream-related operations are located. Following the success of Wheaton's inaugural Future of Mining Challenge, an initiative that seeks to support the mining industry to become more efficient while minimizing its environmental impact. I am pleased to announce the theme, the 2025-2026 initiative will focus on sustainable water management, an exceptionally important component to any mining operation. The company will begin receiving expressions of interest next month. So please stay tuned for further details. And with that, I would now like to turn the call over to Wes Carson, our Vice President of Operations, who will provide more details on our operating results. Wes?
Wes Carson: Thanks, Randy, and good morning, everyone. Overall production in the first quarter came in higher than expected, primarily driven by strong outperformance at Salobo. In the first quarter of 2025, Salobo delivered over 71,300 ounces of attributable gold production, an increase of approximately 16% compared to Q1 2024. This was primarily driven by higher throughput and grades. Strong overall performance this quarter reflects the ongoing ramp-up of the Salobo III expansion and continued operational improvements at Salobo 1 and 2. On March 4, 2025, Vale Base Metals informed us that the second phase of the Salobo III expansion had been completed, having achieved a sustained throughput capacity of over 35 million tonnes per annum over a 90-day period. Following our review of the test results, Wheaton advanced the final expansion payment of $144 million to Vale Base Metals in early April. Constancia produced over 550,000 ounces of attributable silver and 4,900 ounces of attributable gold in Q1 of 2025, a decrease of approximately 13% and 65%, respectively, compared to Q1 2024. The reduction to gold and silver production was expected and due mainly to lower grades as ore material was mined from the Constancia pit and reclaimed from the stockpile compared to the prior year. Pampacancha deposit, which contains relatively higher gold grades is expected to be depleted by early 2025. As Randy stated, we were excited to see the Blackwater announce the first gold pour and silver in the first quarter, resulting in attributable production of 1,000 ounces of gold and 35,000 ounces of silver. Most recently, on May 2, Artemis declared the commercial production had been achieved at the Blackwater mine, delivering in excess of 90% of its planned tonnage. Production is expected to increase throughout the year as Artemis continues to ramp up. Production outlook for 2025 remains unchanged with total attributable production expected to fall between 600,000 and 670,000 gold equivalent ounces. Production is forecast to be consistent at Salobo through the remainder of 2025 with slightly lower grades as per the mine plan, offset by increasing throughput across Salobo 1, 2 and 3. Production at Antamina is forecast to increase over the remainder of the year due to expected higher silver grades caused by the ratio of copper zinc ore versus copper-only ore being 2025. Production from Mineral Park, Goose and Platreef continues to be forecast for the second half of 2025 with construction at these assets proceeding in line with expectations. Looking ahead, we project annual production to grow at an industry-leading rate of approximately 40%, reaching 870,000 GEOs by 2029. This growth will come from operating assets, including Antamina and Blackwater with additional contributions from development projects that are currently under construction and/or permitted, such as Mineral Park, Goose, Platreef, Kurmuk, Kone, Fenix, El Domo and Copper World. Furthermore, attributable production is forecast to average over 950,000 GEOs from 2030 to 2034, incorporating expected additional incremental production from these predevelopment assets. That concludes the operational review. And with that, I will turn the call over to Vincent.
Vincent Lau: Thank you. As described by Wes, production in Q1 was 151,000 GEOs, a 4% decrease from Q1 of 2024 due mainly to the lower production from Peñasquito and Constancia partially offset by higher production from Salobo and Antamina. Sales volumes were 161,000 GEOs, an increase of 16% from Q1 of 2024, as strong production levels in Q4 of 2024 resulted in an increase to sales realized in Q1 of 2025, due to the inherent timing delay between production and sales. As at March 31, 2025, approximately 136,000 GEOs were produced, but not yet delivered or PBND, which represents approximately three months of payable production. The company expects PBND levels to stay at the higher end of our forecasted range of two to three months by the end of 2025, in part due to the ramp-up of new mines, forecast to commence operations in the second half of the year. Strong commodity prices, coupled with our strong production resulted in record quarterly revenue of $470 million, an increase of 59% compared to the prior year. With the increase due mainly to a 36% increase in realized commodity prices, coupled with the 16% increase in sales volume. Gross margin increased by 86% compared to the prior year to $319 million. Notably, year-over-year margin growth exceeded the appreciation in gold prices over the same period, underscoring the effectiveness of our business model and leveraging rising commodity prices while maintaining strong cash operating margins. Adjusted net earnings amounted to $251 million representing a quarterly record and an increase of 53% compared to the prior year. Wheaton delivered robust cash operating margins in the first quarter, resulting in record quarterly cash flow from operations of $361 million, an increase of 65% compared to the prior year and declared a dividend of $0.165 per share, an increase of 6.5% compared to the prior year. For 2025, the company continues to expect that G&A expenses will amount to approximately $50 million. During the quarter, Wheaton paid total upfront cash payments for streams of approximately $95 million, including $40 million from Mineral Park, $30 million for Blackwater and $25 million for Fenix. Overall, net cash inflows amounted to $267 million in the quarter, resulting in a cash balance of $1.1 billion at March 31. This cash balance combined with a fully undrawn $2 billion revolving credit facility, positions the company exceptionally well to satisfy its funding commitments and acquire additional accretive streams. That concludes the financial summary. And with that, I turn the call back to Randy.
Randy Smallwood: Thank you, Vincent. In summary, the first quarter was a very strong start for the year for Wheaton, distinguished by several key highlights. We achieved record three month revenue, earnings and cash flow and declared a $0.165 quarterly dividend, a 6.5% increase from Q1 of 2024. Our pipeline of development projects was further de-risked by construction advancements from multiple assets scheduled to come online within a year, further supporting our impressive anticipated organic growth profile of over 40% by 2029. We continue to maintain low and predictable costs which when coupled with our leverage to increasing commodity prices resulted in some of the highest margins in the entire precious metals space. Our balance sheet also remains strong providing ample capacity to add accretive high-quality streams into our portfolio. And lastly, we take pride in being a leader amongst precious metal streamers in sustainability by supporting our partners and the communities in which we live and operate. So with that, operator, I would like to open up this call for questions.
Operator: [Operator Instructions] Your first question is from Cosmos Chiu from CIBC. Please go ahead.
Cosmos Chiu: Thanks Randy and team and welcome, Vincent. Congrats on a very strong -- or record earnings for Q1. Maybe my first question is on the sales versus production. Vincent as you mentioned, production was 151,000 ounces and sold was actually higher. And as you kind of pointed out usually production is higher than sales. So my question is, is there any kind of read-through into future quarters? Or is this really a reflection of what has happened in the past? I guess you kind of answered it by talking about PBND being consistent. And so I guess I'm trying to confirm should we just kind of model sales and production being fairly consistent on a go-forward basis?
Vincent Lau: Yes. So on a production basis, we're a bit back-end loaded this year in terms of the production levels. So being at the higher end of the range that we are forecasting throughout the year, you would expect some pickup in the PBND. So about three months is what we're forecasting. So I think you're right. You're going to see production levels being at the similar levels as to sales, but factoring in this PBND movement.
Randy Smallwood: Cosmos, if I can add, a lot of the -- we had a really good fourth quarter, but that overproduction came from Salobo which is copper concentrates. And it's usually the copper concentrates that take longer to make it through to sales just because you've got to ship that concentrate overseas and run it through the whole smelting and then refining process. So -- and if you look at it the PBND and it shows it right in the charts in the presentation, it's dominantly gold and most of our gold comes in the form of copper concentrates from the mines themselves. So the fact that we were so high in the fourth quarter in production at Salobo, we saw great production out of Salobo in the fourth quarter. We always knew that it was going to be a good boost to the sales side in the first quarter because that concentrate takes that long to come through. So, it's always going to have -- it's always going to be biased more towards the gold production because most of our gold production does come from copper assets. And therefore, that pushes us more towards the 3-month limit versus with Dore which is where most of our silver is it's typically about two months for us to convert it to sales.
Cosmos Chiu: That's right. Thanks, Randy. Maybe that leads-in well to my next question here, Salobo. You made the final payment on the expansion of $144 million on April 4, 2025, I can read my -- in April 2025. But that might not be the last payment. I believe there could be a potential to make additional payments of $5.1 million to $8.5 million annually. If they do go with a high-grade sort of mine plan. Any updates on potential for you to need to make that payment? Or any kind of color on the high-grade mine plan?
Haytham Hodaly : Thanks Cosmos. They are working on that high-grade mine plan. It really is a higher throughput higher movement that they need from the mine is the main kind of factoring that along with a higher copper grade from the miner consistently higher copper grade from the mine. So Salobo has been working towards that over the last several years. It's not imminent that we're going to hit those levels. So we continue to monitor it with value-based metals and we'll continue to speak to them about it, but I don't see that happening within the next year or so certainly.
Cosmos Chiu: For sure. And then Wes or Randy, I saw in your longer-term growth profile you've included CopperWorld. Could you maybe give us an update on CopperWorld? Is that now considered fully "permitted" because I was reading up on your PMPA once again I guess it says $50 million could be advanced upon Hudbay's receipt of permitting. And so I guess number one timing? Number two is it considered fully permitted? And number three this is a negotiation that was completed many years ago $230 million. Any kind our of potential changes to that number?
Randy Smallwood : Yes. No, it's not a negotiation. It was going to be -- it was a contract that was signed many, many years ago. And so it's a contract in place. Yes. And so it's a contract that's in place. There's no money that gets advanced until Hudbay delivers not only all permits, which they do have but they also have to have proper financing in place that satisfies us that they've got capacity and get the project built and they also have to commence construction. And so there will be no payments from us until that happens. I think in our current five-year guidance we might have it at the tail end just the very tail end of the five-year guidance and it's not significant from a production perspective in terms of getting to the 40% growth. We think it's probably five to six years out. I'm hopeful that Hudbay moves that faster forward. It's an impressive project. The Rosemont and then the CopperWorld area itself all sort of one collective zone that we're appreciative in terms of that exploration success that we were originally purchasing about 15 years ago has actually turned into the main resource that's going to be started off at the CopperWorld. But it's all part of the project going forward. Hudbay is a very important partner to us. We are always trying to find ways to support our partners on a go-forward basis, but we have to be reflective of value. We're -- and so I know there's been lots of talk in the marketplace about how that's going to move forward. We've got a contract in place and we look forward to working with Hudbay to move this forward. But and so we're waiting. I think their focus currently right now is looking for a joint venture partner to try and offset some of the capital expenses that are going into this project. And so we look forward to helping them.
Cosmos Chiu: So Randy, I guess, your advancement of any payment will not happen until a joint venture partnership or joint venture partners is in place?
Randy Smallwood : Well, I mean, our -- we would start, I mean that's if they have to go down that path. If they choose not to go on that path. All I have to do is come up with a financial plan that we're satisfied with the financing plan, the capacity to fund it. And so whether they choose to do that with a joint venture partner or choose to find a way to do that internally within themselves and keep 100% ownership of the asset going forward. It is an impressive asset. And so I'm not sure the logic behind that outside of – outsourcing capital to help get the project built. But it's not contingent on them finding a joint venture partner. It's contingent on them having a satisfactory
Cosmos Chiu: Financial plan.
Randy Smallwood : Yes, exactly. And so whatever way they choose to get there that's their choice, that's not contingent on us.
Cosmos Chiu: Great. And then maybe one last question switching gears a little bit on Cobalt, not the biggest part of your portfolio. But I noticed that the production has increased kind of makes sense, given that they're ramping up. So two parts of my question. I guess number one it's – a 540,000 pounds now in Q1. Is that going to continue to increase, number one? And number two I noticed that shipping or sales was only about half of that 540,000 pounds. And it's always lumpy. So again how should we model the shipment or sales which in turn affects earnings?
Wes Carson: Thanks, Cosmos. So they did have an exceptional first quarter there. For the rest of the year here we're forecasting really slightly lower than that but kind of consistently in more of that kind of 450,000 pound a quarter kind of range. And really the sales are very lumpy on that one and it's really just because of the shipments on that. They go over to Europe and we get paid kind of at that point when they go over there. So there is quite a lag in that and we will see those sales start to catch up over this quarter with that production. So it is – they've had a great ramp up there over the last really 18 months. They did announce kind of – that they completed earlier this year as well the underground and they are at full production on those. So it's been a long project to get it going. It's the worst water in our portfolio got affected by COVID for sure. So it's great to see them up and running and getting that consistent in the high-volume production out of there.
Cosmos Chiu: Yes. And I forget, Wes. Its 2 million pounds in annum. Is that what they're aiming for after the expansion – I don't remember.
Wes Carson: Yes. Yes to our job, yes in that range. That's to our account.
Cosmos Chiu: To your account, yes, for sure. Cool. Thanks, Randy, Wes and Vincent. Thanks for answering all my questions and have a good week.
Randy Smallwood : Thank you, Cosmos.
Operator: Your next question comes from Daniel Major from UBS. Please go ahead.
Daniel Major: Hi. Thanks so much for the questions. So yes, a couple to start with the Antamina has had some downtime this quarter. Can you provide any feedback you might have had from the joint venture and potential impacts it might have on the profile in the second quarter or indeed the full year?
Wes Carson: Thanks, Daniel. So we did have – obviously, a very unfortunate incident there this past month ago now. So – and really it's one of those things that we have been in contact with the partner on it and it's very, very unfortunate to see those types of things happen. We keep very close eye on the safety record of all of our operations certainly. They were down for about 36 hours due to the incident. We don't expect it to affect production for the year at all. We are actually heading down the site in a couple of weeks here. So we'll get a good idea of what things look like for the rest of the year after that but at this point don't expect any change to our current forecast.
Daniel Major: Okay. Thanks. And then maybe just a follow-up on Antamina. Where are you looking at in terms of the delta into 2027 as you see it in terms of the mine plan -- yes 2026-2027 relative to where we are today and Antamina specifically?
Wes Carson: We are seeing a fairly significant ramp up this year as they move back into those copper-zinc zones, which have quite a bit higher silver in them than what we've seen in the last couple of years. And we do expect that to continue through 2026 and 2027 as well. They have moved that primary crusher out at the bottom of the pit now and there was quite a bit of high grade that was tied up with that. So they are moving into really a higher grade silver zones over the next couple of years, which is why you do see that ramp up in production.
Daniel Major: Great. Thanks. And then the next question, I appreciate it's associated with the movement in the share price. But you booked $12 million of share-based compensation this quarter. How is the distribution through the year? And if shares stay the same here should we expect a similar run rate? Or how should we be modeling that line item?
Vincent Lau: Yeah. $1 million this quarter is really driven by the share price outperformance. Run rate on the PSU side will be around $3 million to $4 million going forward per quarter.
Daniel Major: $3 million to $4 million a quarter. Okay. And then -- yes that's useful. Thanks. And then just a final question, I mean you got $1.1 billion on the balance sheet. I guess, you're always looking for opportunities but is there any scope if the prices there at this level to look at interim distributions or changing the structure of cash returns? Or are you just firmly going to accrue cash and look for deals?
Haytham Hodaly: Maybe I'll take that question Daniel. This is Haytham. Thanks for the question. I will say that given the number of opportunities that we have in the pipeline right now, it's definitely double digit and we're seeing a lot of different development stage opportunities looking for funding. We're seeing higher commodity prices are prompted. The sale of existing secondary royalties. We're seeing balance sheet repair opportunities and we're also seeing rationalization of assets by larger seniors. So there are so many opportunities right now for the potential expenditure of capital towards streaming projects and then some larger royalty opportunity as well that we are pretty comfortable with our existing structure.
Randy Smallwood: Yeah, Daniel, I would just add. I mean this run-up in gold prices and what we've seen is actually really starting to firm up enough that people are starting to make commitments into building. And so what we are seeing a lot of is gold streams on gold mines or silver streams on gold mines. There's lots of activity there. I'd love to see it strengthen the copper space because there are some pretty promising copper projects out there that are waiting for I think a better cost base to make decisions to go into construction but there's definitely a lot of activity on the gold side.
Haytham Hodaly: Just because we've got $1 billion as of the last quarter, keep in mind we've managed to spend almost $900 million a year for the last 10 years. So there are lots of opportunities. It may be a little bumpy maybe one year is more than the other, but we've never had an issue deploying capital accretively.
Daniel Major: Great. Have a great weekend.
Randy Smallwood: Thanks, Daniel.
Operator: Your next question is from Tanya Jakusconek from Scotiabank. Please go ahead.
Tanya Jakusconek: Yes. Good morning, everybody. And again, my sympathies for Peter. very sad to see that news.
Randy Smallwood: Thank you for that, Tanya.
Tanya Jakusconek: I'm going to start -- a lot of my questions have been answered. I'm just going to follow up on just a few things that I just wanted confirming. And just on the distribution for the year, I think in the last conference call, we talked about a 45%-55% first half, second half in terms of the production profile. Is that still the case with all the start-ups towards the second part of the year?
Wes Carson: Yeah. Thanks. With the strong performance in Q1, we're actually looking at about kind of 47%-53% now, I would say, if you kind of measure it that way. So it's still back-end loaded, but a little bit less so than...
Tanya Jakusconek: Okay. And obviously, depending on what the prices do, that obviously moves the -- not your production, but just for the rest of us, the GEO sales anyway. Yes, I got it. Just on -- and then the PBND will just follow along with that 47, 53?
Wes Carson: Yeah, exactly.
Vincent Lau: Yeah. We are blessed with the fact that a lot of the new mines that are starting up are producing Doré. And so as that new production does come on, it won't be as long. Now whenever a new mine starts up, you have to get systems in place and such. So there's probably going to be a bit of initial delays in terms of converting that to sales. But yeah, there's not a lot of growth on the concentrate side in our portfolio over the next while, it's mostly in the Doré side.
Tanya Jakusconek: Okay. That's good. And then if I could circle back to Copper World and just what Hudbay is looking for a financing partner to take on some of the risk. I just want to try and understand if you would increase your exposure further to this asset, but more on a stream basis rather than -- because you said you'd help with support them. I just wanted to make sure it wasn't as a joint venture partner, but more.
Wes Carson: Yeah, definitely wouldn't be as a joint venture partner. It's not in our business model to take that level of risk. And it's one of the reasons why we have value for the streams that we acquire is to gain that confidence for our shareholders. So -- and so it definitely wouldn't be as a joint venture partner. However, there's opportunities. The -- one of the challenges is that the current stream is for 100% of the gold and the silver. So we already are getting 100% of the precious metals from that project. And -- but there are other ways to expand the relationship to provide support, whether it's -- we've always said that we're not chasing copper, but we would take it as ancillary support to help a project go forward. And so maybe that's an option. They've also got some pretty good gold production from other assets within their portfolio. That's also an option in terms of us being able to access and stream. And so there's -- Hudbay is a pretty wide diverse company. We've already got a good healthy stream with them at Constancia got a less healthy stream with them at 777, which, of course, isn't operating anymore, and it underperformed for us in the past. And so it's been a long and healthy relationship, and we're looking forward to continuing to grow that relationship in a supportive role, whichever way we can. They've got a good operating team. They've got a good management team. They've got a good track record in terms of bringing projects like this on. Constancia has been a huge success. And so we're going to be there whichever way we can. Their focus right now as I've stated publicly is sourcing a potential joint venture partner to help spread it out. We're not sure that they need to do that. But that's something that they have to answer for themselves and come forward. So, we're going to do everything we can to help them.
Tanya Jakusconek: Okay. Thanks for the clarification. Just didn't want to see anyone getting in as an operator. I've seen that movie before. Just on operating environment -- the deal environment if I can circle back -- and thanks Haytham for some of the color. I just wanted to come back on a couple of things in thank you environment that you're seeing. Have you seen your deal -- the deal size increase at all?
Haytham Hodaly: Yes.
Tanya Jakusconek: Yes, okay.
Haytham Hodaly: I mean there's still a lot of the smaller deals that are still out there Tanya, but we are seeing some of the larger deals. And it's -- I'd say the range is still from -- initially on the smaller deals was $1 million to $350 million. There are a handful of larger deals that are $500 million to $1 billion now. And so there's lots of things we'll consider. Keep in mind though Tanya not every opportunity out there is a Wheaten opportunity. We're not going to do anything that sacrifice the integrity of our model and we're very cautious to continue to add accretive growth. So just keep those things in mind.
Randy Smallwood: Tanya, I think it's just worth highlighting and you can look at two very, very real examples here just recently Artemis at Blackwater and how we've supported them through the startup. I think if you asked the team at Artemis, they'd be very happy with their Wheaton relationship in terms of how we've stepped in to sort of adjust and add a bit of value to the stream at a timely basis for them as they're turning on the switches there. And so I think that example of being supportive through the start-up process has caught a lot of people's eyes. And then I would go to the Montage deal on Koné. And the fact that that deal was structured where we supplied the bulk of the capital in terms of getting that project up and running and they're going to turn the switches on that mine and have no project debt and be producing 300,000 ounces a year to their credit. And those two transactions have really caught the eye of a lot of other developers in this space. And so we're now starting to get a lot of larger-sized opportunities where they're saying okay well let's look at Wheaton taking a larger role in terms of how we finance these projects into production on a go-forward basis. And we're always happy to put into high-margin high-quality assets. So they are out there.
Tanya Jakusconek: And what about -- Randy the -- maybe the base metal companies given the volatility in some of those commodities the high gold price for them in terms of crystallizing some value on maybe some of their precious metals component to their assets. Has that increased? Have you seen more?
Randy Smallwood: Yes there's a lot more discussion about it. I just haven't seen a lot of the base metal projects commit into going into construction going forward. They're -- I think they're waiting for a bit better copper price to -- and it's mostly in the copper space that we're talking. We don't see a lot in the lead-zinc space. But in the copper space, they just want to see a bit stronger -- lots of predictions for stronger copper prices. But unfortunately with some of the de-globalization efforts around the world it's having an impact on demand and therefore pricing in copper. And we just haven't seen people making the commitments in terms of going into construction. I think they want to see a stronger market for copper before they make that decision. So, the talks are ongoing, but they're nowhere near as advanced as what we're seeing in the precious metal space in the gold space specifically.
Haytham Hodaly: We'll add one thing, Tanya. I'd say of the split of opportunities we're looking at approximately half would be for precious metals as a byproduct from these poly-metallic assets.
Tanya Jakusconek: Okay. And you said, you were up to like 20-ish or so. Is that what I heard?
Haytham Hodaly: We're somewhere around 15% to 17% in that range, but it changes every day.
Tanya Jakusconek: And then I guess the last one I would have to add is just ask is on corporate transactions. How do you view that in your mix?
Randy Smallwood: Yes. I would just say that as long as we've got 15 to 20 assets in front of us looking at it our preference is to go down that path. We've been at this business now for over 20 years and I think a good old Wheaton stream has a lot of benefits, a lot of strength in terms of how it's structured the security and stuff. And as soon as you start looking at corporate transactions, what you're doing is acquiring someone else's challenges. And what we've seen is a lot of people will give up weaknesses in terms of structure or how a deal is put together to try and get their foot in the door. And that means it just doesn't have the same strengths. We've seen lots of evidence of that lately in terms of companies that are challenged because they gave up structural weaknesses and now they're paying the penalty for that. And so, it's -- we like good old Wheaton. That doesn't mean we don't look at other streams. We have acquired portfolios of assets. Two years ago we bought a bunch of stuff from Orion, a bunch of assets from Orion. They were existing streams. They were repriced accordingly. If they had good structure they're probably worth a bit more, right? And so it is something that we're pretty sensitive to. And our preference is to put our own deals in place and we still see a lot of appetite on that front.
Haytham Hodaly: Tanya, I'll just add one thing. We do keep our finger on the pulse. So we're always modeling a lot of these junior companies are the ones that we think have or could create value for us down the road. But as Randy said, as long as we continue to be able to acquire assets at net asset value or less stream size, that's through we'll take.
Tanya Jakusconek: Okay. Great. Thank you and congrats on a good start to the year.
Operator: Your next question is from Derick Ma from TD Cowen. Please go ahead.
Derick Ma: Thank you very much. Picking up on your comments on Hudbay, we've talked in the past about levels of royalties which could potentially overburden any one individual asset. How do you think about royalty burden or leverage more holistically from a corporate level of your partners? And is that looking that concerns you?
Haytham Hodaly: In terms of -- from our perspective -- Derick, we try to not take too much of the economics of any specific asset. A lot of the older contracts when some of the precious metals were much less important, they did have some higher levels of precious metal streams. But if you see everything we've done of late, we try to stay well under a reasonable amount such that even if commodity prices dropped 20%, 30%, 40%, we are not overburdening the assets such that it has to shut down or make some significant changes. So we're very cautious as to what we do here in this environment.
Derick Ma: What is the reasonable amount of economics in terms of an individual assets?
Haytham Hodaly: Optimally, we'd like to stay under 20%, 25%.
Randy Smallwood: Yes Derick, it's -- every project is different in terms of its own operating margins, right? So that's one of the things that we always have to stay on top of its way. Wes and the operations team, we keep such a close pulse to how our partners are doing, right. We really do put a focus though on first and second quartile assets because that's why it delivers healthy margins not only for us. But I think most importantly for our operating partners, if our operating partners aren't healthy, we're not. And so we're constantly on the pulse of that. I would say that, one of the things that makes Wheaton a little bit unique in that front is that we do manage our portfolio. And we don't just buy things and stick them on the shelf and wait them out. There's a life -- there's a time in mind when you -- when streams make a lot of sense as a competitive source of capital to help run that. But as the mine matures, it may get a little bit too much of a burden. And we're not scared to crystalize. We have in the past, and I guarantee we will again in the future, where we look for ways to back out of mines as they get a little bit more tired, a little bit more expensive and keep -- make sure that we focus on keeping a nice tight clean profitable portfolio of assets in our company. And I think that's a differentiating factor between us and our peers, is that we really do focus on. We're not here to just sort of take a scatter gun lottery approach of just adding assets and trying to cover the world with it. We want a nice, tight, concise profitable group of assets that we focus on. And so we're constantly managing our existing portfolio, not just adding to it.
Haytham Hodaly: If I'll add one more thing, Derick, I'll say, if you look at our contract structures, they are very thoughtful structures. They typically start with higher streams when they've got higher grades and as the grades drop off, the streams drop off. And that's all factored into the original valuation, and it's all based on threshold levels being met, et cetera. So we ensure that we're not overburdening the asset throughout its existing life.
Randy Smallwood: It's so important. It's -- if our partners aren't profitable. We are not profitable. So we need to do everything we can to stay on top of that and make sure that we work that way. And I really think that's the difference of a streaming partnership versus some of the traditional space in this business.
Derick Ma: I appreciate that. And maybe that's a good segue to my next question, which is on amendments to existing campus. Appreciating every situation is different. But broadly speaking, what kind of considerations are as is Wheaton looking for when you start these negotiations with your partners? And when does amendments make sense for Wheaton?
Haytham Hodaly: Sure. Listen, we're only looking to change contracts structurally when it makes sense, as you said. And when does that make sense? It usually makes sense towards the latter end when the mines really mature, the grades come off and it depends on what commodity price cycle you're in. So we're not out there looking to make amendments. Our partners typically come to us and say, listen, this is what we're seeing. We want to make an expansion and we want to continue to drill this project, but it doesn't make sense because the project is taking too much of the economics. Usually, we'll come in. We'll look at ways to actually expand our overall portfolio through other streams other opportunities that they may have changed the areas of interest -- so where we give up value, we always get value. We're not just giving up amendments to our shareholders' detriment.
Wesley Carson: I'd say, Derick, as well. That's one of the reasons that we monitor very closely the health of all of our assets so that we're aware of how these streams are doing and at what point and what things are actually negotiable. But as Haytham said, really, it is we need to get value back for any of those amendments that we do.
Derick Ma: Great. Thank you for that.
Randy Smallwood: Thanks, Derick.
Operator: Your next question is from Brian MacArthur from Raymond James. Please go ahead.
Brian MacArthur : Good morning and thank you for taking m question. I kind of want to go back to what Tanya was talking about. When you talk about these $500 million to $1 billion deals now are they what I would call Salobo deals where it's $1 billion of streaming? Or are they more $500 million streams and say $300 million of equity and other things? And just in general if you can maybe comment as you do more of these full funding packages what sort of ratio you look for in the stream component of the deal on a full value basis? Because obviously the streaming model is very unique and nice and tends to get a better multiple than maybe equity does if you're buying that in a deal.
Haytham Hodaly: Sure. Happy to answer the question Brian. It's Haytham again. I would say the streams are our core business. So when we're talking $500 million to $1 billion in streams or royalties. That's the primary contract. That's not looking at revolvers or working capital facilities or equity or debt. That's just what we're looking at from a streaming perspective. There are opportunities obviously where we will come in and provide a big chunk of the overall funding. But we typically like to see some -- the counterparty on subsequent in the game. To answer your second question is there a ratio. I would say, at -- if we're going to put up anything that's not a stream at least 80-plus percent of that value has to be a stream.
Brian MacArthur : Great. Thanks very much. Very clear.
Randy Smallwood : And with that thank you everyone for your time today. Q1 set a strong foundation for what we expect will be another strong year as Wheaton portfolio of high-quality assets sector-leading growth profile and commitment to sustainability provides our stakeholders with a solid outlook for the future. In times of economic uncertainty gold is viewed as a reliable store of value and our Q1 results demonstrate why we believe Wheaton offers one of the best lower-risk opportunities for investors seeking exposure to gold and precious metals. We look forward to speaking with you all again. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.